Denise Garcia: Good afternoon, and welcome to eXp World Holdings' First Quarter 2024 Earnings Fireside Chat via live stream and our metaverse on the web, Frame. 
 My name is Denise Garcia, and I manage Investor Relations for eXp World Holdings. Today, we will begin with our earnings fireside chat with prepared remarks from Glenn Sanford, Founder, Chairman and CEO of eXp World Holdings; and Leo Pareja, CEO of eXp Realty; followed by a review of the first quarter 2024 financial highlights presented by Kent Cheng, Principal Financial Officer and Chief Accounting Officer of eXp World Holdings. Following our prepared remarks, we will open the call to a Q&A session with eXp World Holdings covering analysts and questions submitted to eXp. 
 Let's begin with a review of the safe harbor. There will be a number of forward-looking statements made today that should be considered in conjunction with the cautionary statements contained in the company's SEC filings. Forward-looking statements are subject to various risks and uncertainties that could cause our actual results to differ materially from these statements. 
 Please see our filings with the SEC, including our most recent filed annual report on Form 10-K and quarterly reports on Form 10-Q, for a description of specific risks that may affect our business performance and financial condition. We assume no obligation to update or revise any forward-looking information. As a reminder, today's call is being recorded and a replay will also be made available on expworldholdings.com. 
 Now for a few logistics and then we'll get started. For those of you joining in Frame today, to zoom into a specific screen, you can click on that screen and then click zoom in. If that content on that screen disappears or if you lose audio, simply refresh your page. While in Frame, if you need help, just use the help button at the bottom right. 
 If you wish to ask a question during our presentation, you can enter your questions by scanning the QR code presented on this screen with your mobile phone, or go to slido.com and type the event code EXPI. From there, you can submit a question or vote up an existing question by giving a thumbs up if you'd also like that question to be asked. The screen will remain up and on the right-hand side of this page for the duration of our presentation. 
 Now I'll turn the call over to Glenn to begin our fireside chat. 
Glennn Sanford: Awesome. Thanks, Denise, and thanks, everyone, for joining us. And before we jump into our first quarter results, I want to just review our business strategy and provide an update on our structure. 
 Our strategy, as per the beginning, is to ultimately create the most agent-centric real estate brokerage on the planet and to really drive that value. One of the things we've been able to do is, from the profitability of North America, it's actually enabled us to invest in growth opportunities across the business, including international, which we see as the largest potential driver of growth for the company. 
 Through the profitability of eXp North America, we've been able to build a platform for agents worldwide. That includes personal development, health resources, media and technology. This quarter, we increased our operational efficiencies by focusing entirely on Frame, our metaverse where we're meeting today. And we've actually discontinued our VirBELA operations. 
 At a high level, we're now reporting on three business segments: North American Realty, International Realty and then Other Affiliated Services, which is all the other businesses, which includes SUCCESS and FrameVR.io. Kent will also review the results of each segment in a moment. 
 We're also increasing the transparency of our operating expenses. Starting this quarter, we're reporting technology and development expenses separately. And as you'll see from our financials, we are a technology company really at our core and have achieved significant scale. And moving forward, we expect to leverage our investment to support margin expansion while continuing to innovate and lead [indiscernible] in technology. 
 Now I'll move to some highlights from the first quarter. I'll start with NPS. The work we did in 2023 to improve the agent value proposition, increase support [indiscernible] agents during the market downturn helped drive a higher Net Promoter Score, which resulted in a 3 point increase from last year, from 70% to 73%. As you know, agent Net Promoter Score is a good indicator of our future growth and our retention, an important measure of our success that is often not reflected in the current quarter's financial results. 
 I'm also pleased to report a 5% increase in real estate transactions and 11% increase in overall volume -- or overall revenue. We continue to add multiple highly productive teams and agents around the world during this quarter as well, which we highlight a separate press release, like we did back in mid-April. We think our focus on bringing teams of agents will not only improve the quality of our agents, it will lead to productivity gains, particularly when the market downturn ends. 
 We'll feel confident about this because our internal research shows eXp agents on teams are 77% more productive than individual agents. Last quarter, I mentioned that I expect International Realty to be the largest driver of future growth for the company. And the international segment continues to outperform with revenue from international increasing 45% over the first quarter of 2023. 
 We continue to strengthen the agent value proposition and expand our management team across a variety of key functions, such as human resources, technology, marketing and growth. Last week, Wendy Forsythe joined our team as our Chief Marketing Officer. And earlier in the month, we actually named Leo Pareja as CEO of eXp Realty. 
 I'm handing the reins over to -- of eXp Realty over to Leo, so I can focus on more macro opportunities at the eXp World Holdings level. Leo is truly an innovative and well-recognized leader in the industry. He's iterated and improved on the agent value proposition since joining eXp 2 years ago. And I think he'll continue to add value to our agents, strengthening our competitive advantage and drive growth for eXp Realty across the board. 
 With that, I'll turn the call over to Leo, who can walk you through the first quarter highlights in our core businesses. Leo? 
Leo Pareja: Thanks, Glenn. And thanks, everyone, for joining us today. While this isn't my first time I've joined our quarter earnings call, this is my first time as the CEO of eXp Realty. I'm excited to be here, and I'm excited about the growth potential this year and the years to come. We're doing exciting things. And I've had the good fortune to be part of that. And we've started to see the results from our efforts across the business. I'll start with an industry update. 
 Home sales transactions in the U.S. were down nearly 3%. Despite that, eXp Realty was up 2%. As we continue to do better than the industry, we continue to grow our market share. Market share grew nearly 5%, increasing to 4.4% of all home sales transactions in the United States, thanks to the hard work of our agents and teams during what's undoubtedly one of the most challenging markets most of us have ever experienced in our careers. 
 Moving on to agents. As Glenn mentioned, NPS is our leading indicator for our future growth, reflecting on our agent satisfaction with eXp. aNPS helps us at the management team understand where we can improve and where we can focus our resources. Last year, we said we'd focus on delivering vetted, high-quality opportunities to agents, expanding personal and professional services, like SUCCESS, revenue share equity opportunities and affiliate agreements, streamlining operational support to our agents and enhancing our technology. 
 We delivered all these promises in 2023. And we believe it's reflected in the higher agent NPS scores this year. More specifically, agents have told us that they are happy about our eXpert Care Desk because they're able to get a quick resolution to their issues and have 1 phone number to contact 24 hours a day, 7 days a week worldwide. 
 They've also told us that they've been particularly happy about our transition from VirBELA to exp.world or Frame. They're enjoying Frame because it's web-based, which makes it easier to access wherever they are working. Transaction processes have also improved with 87% of our agents rating the process a 9 or a 10 on a scale of 1 to 10. We're also introducing...  
 [Technical Difficulty] 
Glennn Sanford: Did Leo cut out? Yes. So one thing to note is, today, we actually announced our eXp REVenue Share 2.0 program. So that -- so you may have seen the press release that went out earlier today. Obviously, this last year, we paid out more than $230 million in a combination of revenue share and equity benefits to our agents and brokers. 
 And with the new model, and just anecdotally, our agents are ecstatic about our REVenue Share model 2.0. We recognize that we have competition in the industry. And since we really created this new rev share model, we redesigned it to give agents the best rev share opportunity that exists in the market today. And we also have a Fast Start program that's going to be kicking in, in July, which we think is also going to be super exciting that we talked about in the press release. 
 Leo, let me know if you've arrived back, and I can certainly turn it back over to you. Let's go on to the next slide and I'll keep things moving here. 
Leo Pareja: Sorry, I just got disconnected. 
Glennn Sanford: Well, then I will wait for you to take over Slide 12 here. 
Leo Pareja: Slide 12, sorry about that. Perfect. I'm very proud of the eXp...
 [Technical Difficulty] 
Kent Cheng: I think we're losing Leo again. 
Glennn Sanford: I think his Internet connection must be having issues. So just to note, obviously, we have a number of agents who have been named to our -- to the 2023 top producer list. And one of the things that was kind of interesting is that if you actually looked at those agents that were listed, our top 200 -- 250 agents, they would have actually ranked in as a single brokerage in the top 5 or 6 brokerages in the entire industry, so pretty cool just to see a lot of the accolades. 
 Here, a few weeks ago, I was actually awarded the Bravo Leadership Award from DSU. And eXp was awarded the #1 spot in transactions on the 2024 RISMedia Power Broker Report. I want to make sure that everybody -- it's important to note that these rankings really reflect our continued focus on our agents. And that really rings true on why we've been able to get the awards that we have and continue to get all of the various different accolades. 
 So let's go ahead and move to the next slide here. One of the things you've heard us talk a lot about is AI across our entire business. And we're actually almost ready to roll out what we're referring to as Luna 2.0. And this is headed up under our innovation team, headed up by Seth Siegler, our Chief Innovation Officer. But we're actually ready to roll out 28 separate AI agents that each contain their own in-depth knowledge about topics and countries. And it's able to actually handle multiple languages and lots of other cool features. 
 So similar to Luna, we plan to develop more customized generative AI personal assistants responsive to both eXp agent and the broader industry questions. In terms of the -- we have a document creation and review process that we that we are working on improving. 
 And another example is deploying technology to increase operational flexibility by creating what Patrick O'Neill, our Chief Operating Officer, calls following the sun strategy to leverage both AI and people to enable [indiscernible] operations worldwide in support of agents and driving enhanced productivity. 
 So AI for us represents an enormous long-term opportunity. We're doing a lot of things with -- we've got a number of different projects. We're working with some various vendors and others to really focus on the AI side. 
 Leo, are you back? 
Leo Pareja: I hope so, Slide 14. 
Glennn Sanford: Okay, Slide 14 is yours. 
Leo Pareja: We're also excited about our progress against our $20 million profit improvement plan. We made good progress in implementing several initiatives in Q1 to drive our profit and cost savings. 
 On an annualized basis, these initiatives that we put in place in Q1 will drive $27.3 million in incremental profit and cost savings per year. Because many of these initiatives were implemented in the first quarter, they are not reflected in our first quarter financials and may have even been booked as some costs, like severance, towards them, which Kent will discuss in a moment. With 3 quarters left in 2024, we expect to realize $6.8 million per quarter or $20.4 million this year. 
 Turning to the next slide. Lastly, I want to provide an update on the real estate market, which in addition to the market downturn caused by higher interest rates is also impacted by antitrust lawsuits aimed at agent commissions. Understandably, our agents have had lots of questions about what this means for them and their clients. We've been providing support and education to agents through regional rallies, where we can be there to answer questions about antitrust lawsuits but also engage, educate and celebrate and inspire their profession. 
 During April, we hosted and impacted rallies in 20 locations. We plan to host more throughout the year. We've also created a bio representation toolkit, which includes a suite of tools to help eXp agents enhance and empower their value proposition for clients during this time. 
 With that, I'll turn the call over to Kent, who will walk you through the financials, and we'll open it up for questions. Thank you. 
Kent Cheng: Thank you, Leo. As we review our performance for the first quarter of 2024, I'm pleased to highlight several key metrics that underscore our progress and strategic initiatives. 
 Let's start with our agent Net Promoter Score, NPS. This quarter, we achieved an NPS of 73, which is a 3 point improvement compared to the first quarter of last year. This increase is a direct result of our continued investment in operational support for our agent and the enhancement to our technology platform that Glenn and Leo discussed earlier. 
 Moving on to our agent network. We saw a slight decrease of 2% in our agent count year-over-year. This reflects both the challenged market conditions and our strategic decision to offboard a significant number of unproductive agents in the U.S. during the fourth quarter of last year and the first quarter of this year. This move is aligned with our focus on enhancing overall productivity and efficiency. 
 In terms of real estate transaction, our real estate sales transaction units grew by 5% year-over-year. This growth is not only a testament to our team's hard work and also indicate that we are outperforming the industry and continue to gain market share in the U.S. While our cost per transaction experienced a slight increase year-over-year, they remain among the most competitive in the industry. We anticipate the real estate transaction costs will decrease as we leverage technology more effectively and move through the typical seasonal variation in 2024. 
 Now let me discuss our financial objectives. I'm happy to report that our revenue for the first quarter was $943 million, 11% increase year-over-year. On the adjusted EBITDA front, we generated $11 million in a very challenging market condition. The first quarter adjusted EBITDA was lower than the $14.6 million from the prior year's first quarter due to increased SG&A, which I will explain next. 
 We have also enhanced the transparency of our financial reporting by breaking out our operating expense to include technology and development cost, reaffirming our commitment to being a technology-driven company at heart. 
 General and administrative expenses were $63 million, up 15% over the first quarter of 2023, primarily due to increased transaction volume, an effort to improve our NPS, coupled with higher severance and legal expenses. This quarter, we recorded a provision of $60 million for the antitrust litigation contingency. It is important to note that this $60 million contingency is provisional and subject to change as the cases evolve. 
 The net of tax impact on earnings of the provision is $11.4 million. Our GAAP net loss for this quarter was $15.6 million, which also includes a $1.8 million loss from the discontinued operation of VirBELA segment. Excluding the antitrust contingency provision and the discontinued operation, our adjusted loss was $2.4 million with an adjusted loss per diluted share of $0.02. 
 In terms of liquidity, our adjusted operating cash flow was $29.4 million. We have continued our commitment to shareholder return by repurchasing $33 million of share during the quarter. The number of the shares we repurchased completely offset the share issue via our Agent Equity Program and the Agent Grow Incentive Program in the first quarter. In the next slide, I will provide more detail about the driver behind our revenue increase. 
 This chart shows the driver behind the increase of the revenue from the first quarter of 2023 to the first quarter of 2024. In the Q1 2023, our revenue stood at $849 million, as shown by the bar on the left. For the same period in 2024, revenue increased to $943 million, as indicated by the bar on the right, making a year-over-year increase of $95 million or 11%. This increase was primarily fueled by significant gains in our North America Realty segment, which includes U.S. and Canada, contributing an additional $90 million revenue growth. The International Realty segment also saw a rise, contributing $5 million revenue increase. 
 Let's dive deeper into the North American Realty segment. A 2% decline in our agent base impacted our revenue negatively by approximately $8 million. U.S. home sales in the first quarter of 2024 declined 2.7% year-over-year, which pressured our agent production. We estimated the decrease of overall real estate market reduced our revenue by $11 million. 
 However, the market declines were more than offset by gains from several areas in our business. Relative to the performance of the real estate market, an increase of agent productivity over prior year added $48 million revenue. Higher home sales prices contributed incremental revenue of $46 million. Additionally, our strategic focus on expanding our lease, rental and other ancillary services brought an extra $50 million top line growth. 
 On the next slide, I will discuss financials for each segment in more detail. This quarter, we streamlined our reporting by reducing the number of segments from four to three. This change follows the discontinuation of the VirBELA operation as we shift our focus entirely to web-based metaverse, Frame, which is now included in the Other Affiliated Services. 
 North America Realty segment. This segment continued to be primary driver of both revenue and profit for this -- for the company. We reported an 11% increase in revenue, as I discussed previously. However, our EBITDA saw a 16% decline at $80 million. This was largely due to our investment in personnel to support future growth and improve NPS and increase in legal and severance expenses, which were partially offset by higher revenue, net of agent commission and other agent-related costs. 
 International Realty revenue was $60 million, an increase of 45%. Adjusted EBITDA loss was $3.4 million, which is a 9% improvement from prior year. Other Affiliated Services, including Frame and SUCCESS, contributed modest revenue and adjusted EBITDA loss.  
 So this slide summarizes our Q1 highlights, which I have discussed in the previous slides. I'm happy to report that we are off a great start to 2024. And we are well positioned to capitalize on upcoming market growth opportunity. 
 With that overview, I'd like to turn the presentation back to Denise, who will facilitate the Q&A section. Thank you. 
Denise Garcia: Great. Thanks, Kent. I'll kick off for a question for everyone on the team before we open the call up to our covering analysts. First, Glenn, this ones for you. You announced some enhancements to eXp rev share model earlier today. And I think you took us through some of the highlights. I suppose the next question is what made you decide to make these updates now? 
Glennn Sanford: Yes. So there was a few things that went into this. In 2019, we announced our sustainable revenue share platform, which basically was our commitment to paying out 50% of company dollar. But it was based on the model that we originally rolled out in 2009, where if you actually calculate the numbers, we expected, we'll call it, more breakage in the system. But we ended up overheating the rev share system to the point where we would fundamentally not be a sustainable company. So we introduced in 2019, where we are committed to paying out 50% of company dollar. But embedded in that is that we use 50% of the company dollar to pay the bills and run the company and all of that. 
 The second part of it was because of the way it was calculated, it was a little bit unclear for a lot of our agents actually how the numbers rolled out because it was using what we referred to as a buffering system. So we got a lot of feedback that our agents wanted something that was easier to calculate. But then the other piece was we definitely got feedback around agents who, we'll say, are mid-level attractors, who had built reasonably large organizations in eXp and really were -- are key to the growth of the company. But they weren't opening up more of the levels, and yet they were instrumental in the growth of the company. 
 So what we have seen, some of the attrition that we were seeing when agents were leaving to some of our competitors was really that group of agents who were kind of in the middle. They weren't super big agent attractors, meaning they weren't going in 30, 40, 50 people personally. But their organizations, they were really involved in supporting the [indiscernible]. 
 Basically, the program, as it's laid out, is that starting in the U.S. and Canada in May 9, levels 1 through 3 are opened up for all agents in the company. And then levels 4, 5 and 6 are opened up with 5, 10 and 15 agents that they've personally brought in. We still left level 7 at the same, which was 30 or more. And so that's really for those people who are, I'll call it, the broker-owner persona, the sales manager persona. That's what they do is they do a lot of recruiting. And that's how they're wired. 
 But for the masses of agents, we wanted to make it more accessible to agents. And just as I mentioned, the anecdotal evidence of just the feedback today has been really, really positive. So many people saying, "This is exactly what we needed to get excited about sort of the next evolution of eXp." And so I'm pretty excited where we're going to go with this. And we'll be rolling this out across the globe. But we launched it in the U.S. and Canada to start. 
Denise Garcia: Great. Makes sense. The next question is for Leo. I have a couple of questions for you about agent growth trends. First, just a near-term question about the first quarter if it was continued to be impacted by the cleanup of nonproductive agents that you undertook last quarter. And more longer term, what are you focused on in terms of agent growth? 
Leo Pareja: Thanks, Denise. Yes, there are two drivers impacting agent count. First, some agents have left the industry due to tougher selling environment that we've been experiencing over the last 18 months. And second, the cost of nonproductive agents, such as technology support and other things. So we purposely offboarded a large number in the fourth quarter. And yes, it did extend into the first quarter. 
 We're really focused on building our agent base with the highest quality of agents in the industry. We have been very encouraged by the number of teams that have joined eXp in 2023 and again in Q1 of 2024, along with the increase in our agent productivity. We invest quite a bit in tech to support our agents, which is offset a bit by the agent fees. For example, subscription to kvCORE, which would cost an individual agent hundreds of dollars per month to pay directly, is included in our $85 a month agent fee. 
 We believe the fee deflects nonproductive agents, who can be counted at brokerages that don't charge fees. Clearly, our agent value proposition is resonating with productive agents and teams of agents joining us. And we believe our focus on these agents will put us in an optimal position to capture growth as the market turns. 
Denise Garcia: Got it. And now the last one for Kent, can you discuss the components of the $20 million profit improvement plan? 
Kent Cheng: Yes, happy to do that. We know there are a few adjustments we initiated in the first quarter with regard to the risk management fee, Agent Equity Program discount and other profit enhancement opportunities. Those initiatives have helped us on profit-generating side. We estimate they will contribute about $30.3 million on an annualized basis. 
 On the cost savings side, we took action in the first quarter to reduce personnel costs, primarily through the headcount reduction, by estimate, about $10.9 million in the realty business and $3 million in the VirBELA business on an annualized basis. The combined of these two actions approximately will generate about $13.9 million annualized cost savings. So overall, you add them together, we get about $27 million overall profit improvement. 
Denise Garcia: Got it, okay. Now I'll open up the call to our analysts to ask questions. I'll start with Jonathan Bass, who's sitting in for John Campbell from Stephens. 
Jonathan Bass: I wanted to start off on agent count growth. It sounds like the offboarding of nonproducing agents continued into 1Q. Is that expected to flow into 2Q and potentially beyond? And then looking forward on agent count growth, maybe like breaking it down between North America as well as international growth, could you talk about what you're expecting for the remainder of the year? 
Glennn Sanford: Leo, do you want to take that? Or... 
Leo Pareja: I was going to ask you the same thing. 
Glennn Sanford: Okay, sure. Yes, so going into Q2, obviously, we rolled out what we talked about, REV Share 2.0. So that, we believe, is going to be helpful for -- on the growth side. On the offboarding side, it's still a pretty tough market. A lot of our agents that we were offboarding and have offboarded and those who have voluntarily offboarded, a lot of them were behind on their fees, their MLS dues and other things that are obligation to them and they weren't selling any homes. So it was just natural that there was some attrition. 
 What I found -- and this is just anecdotal, but I believe that even NAR quit a couple of months ago of publishing their numbers of members because I think their numbers are dwindling at the moment. So I think there's some industry attrition going on at the moment that's affecting us. And obviously, we're still -- we're seeing our productive agents sticking with us for the most part, which is why you're seeing volumes pick up and transaction counts pick up as the lower production. Anything you want to add there, Leo? 
Leo Pareja: Yes. We're -- and again, people need to remember that when you don't stay current with your MLS and association dues, once you get turned off, we have to offboard you. And so we have the larger denominator. And so the churn that's endemic to this market cycle is going to be present. 
 But the one thing I will say that I'm having, and so is Glenn, very promising conversations with small- and mid-sized independents, where the fear of the changing model rules to -- from the NAR settlement, we'll probably see some more activity of independents joining us in larger numbers, 50, 100, 200, 500 agents at a time. 
Denise Garcia: Jonathan, did you have another add-on, follow-on to that question? 
Jonathan Bass: Yes, if I could, if could add one more, if I could, maybe switching topics. Could you guys maybe elaborate on how EXPI and your agents are preparing for the mandated bio rep agreement rule change that's expected to come this summer? What are the discussions you're having with agents? And what are you... 
Leo Pareja: Yes, I'll jump into that. We're being extremely proactive. I want to say we're probably the leading scaled company who's been very proactive. A couple of weeks ago, we rolled out a one-page bio representation agreement that becomes only binding for 1 property and basically 1 day. The one thing I keep reminding agents, because I'm probably talking to 300 at a time a couple of times a day just to make sure that they're well prepared, is that nobody knows what's actually going to happen. 
 The final settlement needs to be completely fleshed out. The DOJ could opine. But it's really operationalizing the change. And so what we're doing is we're preparing our agents with the most tactical scripts, tools, bio presentations. We've even gotten it down to a slogan of treat your buyers like you treat your sellers. 
 And what we're encouraging them to do is to start being prepared today. So we've given them the forms and the tools that we think will help get them through the transition and making sure that the objections and the concerns that come up, we've already roleplayed, we've already prepared them for it. 
 And the one advantage that we have as a company is we're the largest scaled by transaction count. According to RealTrends last year, we did 355,000 sites. That's 40% more than #2. And so what we have is this phenomenal collaborative feedback loop. So as our agents are in the field dealing with consumers directly, we'll be able to support their change. 
 And the one thing I keep saying to agents is we're a platform to allow real estate practitioners to build the size of business they want. And so what that means as long as it's legal and the ethical and it falls within the rules, we're here to support whatever type of business they would like to innovate on. And in a couple of years, we'll probably have a new normal. But we're very prepared proactively to guide them through the, I'm calling it, the messy middle as we adjust to the new rules of engagement. 
Denise Garcia: And we'll move on. Tom White from D.A. Davidson. 
Thomas White: A couple, if I could. Glenn, Leo, I was hoping maybe you could share some directional thoughts on how you're feeling about your transaction growth in the second quarter. There have been some other companies in this space that have highlighted the recent uptick in mortgage rates. Just a little bit of kind of directional color there.
 And then maybe one for Kent. Operating expenses, specifically kind of G&A plus that new tech and dev line, is that kind of the new level we should think about in terms of like absolute dollars over the next few quarters? Is that a good way to model it kind of from what we saw in the first quarter? 
Leo Pareja: I could take the directional one. Quarter-over-quarter, it's looking like a flat year transactionally for the country. So I would venture to bet that what we saw in Q1 is probably pretty representative of Q2. And again, as we shared throughout the other slides, we're really focused on the productive agents. 
 And again, what I actually tell agents is in a market like this, thriving looks like surviving. And so sometimes this is just a market expansion moment. And then once rates, and we get more back to a normalized transactional volume here of 5.5 million, 6 million transactions, which over a 30-year period is probably more average, that will actually pay dividends for us. 
Kent Cheng: Yes, maybe to add on the unit side, right, Tom. It's typical, you see that Q1 is very -- is slowest season, right? When you get to Q2 spring season, just the seasonality, the revenue will pick up in the second quarter. 
Thomas White: Okay, great. Maybe one last one, if I could slip it in. Any chance you can update us on how you're thinking about a potential settlement of the NAR lawsuit. Some of your brokerages have settled recently. I noticed that litigation contingency pop up on the P&L. So anything you can share there would be helpful. And then I'll get back in the queue. 
Glennn Sanford: Yes. So I've spent a fair bit of time, I know Leo does as well, talking through what's going on in the industry from a settlement perspective or a litigation perspective. We're still fairly early on in our -- in the suits that we're named to -- I think there's 10 suits that we're named to in the U.S. We're still trying to figure out whether there's consolidation of that. Where does this all set? I think we're maybe the last of the large brokerages that haven't settled yet and are presently not in a settlement discussion at the moment. But obviously, we're open to those conversations. We've had some in the past. 
 But right now, we're still looking at what's going on. Obviously, you had Douglas Elliman, you had, of course, HomeServices. Of course, they were on the hook, so to speak, for the previous judgment. And they were kind of the last one in there, so -- but it's still early on. We've still got a couple 3 years of work to do before it gets into some sort of trial situation is the way that we're looking at it. So we're watching on a day-by-day basis. And if there's an opportunity to settle for a number that makes sense for us, then we'll take that opportunity. But if not, we think we've got very good arguments on our side of the equation if we were to go sort of the distance, so to speak. 
Kent Cheng: Tom, you also asked about SG&A, right, [indiscernible] the rest of the year. Barring from any unforeseen, right, or one-time item, you can assume our Q1 SG&A, essentially it's more like general direction, what we're going to see in the future. 
Denise Garcia: All right, I'll move on. Moving on to Matt Filek from William Blair. 
Matthew Filek: You have Matt on and Sheldon. To start here, what could the recent changes to the revenue share model mean to company financials, particularly gross margins? 
Kent Cheng: Short answer, no change, right? 
Glennn Sanford: Yes. I mean, that's the short answer. The short answer is that it's how we're paying out the 50% of company dollar is really what it comes down to. And we've done it in a way that helps agents in the company that are working to grow the company. And so we've really just created what we refer to as a model that our agents feel is more aligned with what their interests are over the long haul. So generally, we're paying out the same numbers. We're just doing it slightly differently, which our agents are excited about. 
Matthew Filek: Got it. And then since Leo is taking over as the CEO of eXp Realty, and congrats on that opportunity, Leo, Glenn, can you provide some more detail on how you plan to allocate your time? It sounds like macro level opportunities will be a core focus. But any additional color on what that entails would be helpful. 
Glennn Sanford: Yes, so there's -- when I look at macro, obviously, we've got a few subsidiaries, SUCCESS Enterprises, FrameVR.io. We've got some other business that we made either strategic investments in or -- and other business that we think could be synergetic to eXp. So it's really working on a number of these opportunities. There are some things that I think are pretty exciting that I don't want to talk about yet, so they're nonpublic. 
 But there are some areas where, I think, leveraging eXp Realty's scale and what we've been able to accomplish, there are some things that could create some nice aligned synergies that are maybe out -- which are, in fact, outside of the core of realty, so not the traditional affiliated services, but other services that we think could really align well and could be profitable in their own right. 
Denise Garcia: And then last, Soham Bhonsle at BTIG. 
Soham Bhonsle: Maybe first one for you, Leo. Last fall, you introduced the Boost and Accelerate program. So I'm just curious how those have fared so far. And then if you could just expand on what's incremental here with the Fast Start and the REV Share 2.0 program, that would be great. 
Leo Pareja: Yes. No, it's definitely opened up lines of communication. Tomorrow, we're filing a press release of a 500-person brokers that joined us here in Miami, 20-year independents, who just -- the interesting talk track that I keep hearing over and over again is, "I've been grinding at it for years and years, and this upcoming climate is just giving me the opportunity to think through, do I want the liability?" And we're really positioned as a platform to allow these real estate entrepreneurs to continue to grow according to their people. 
 They give us their back end. They give us their liability. And then they can focus on pouring in. And a lot of times, once they get rid of their fixed liabilities in the real estate, it becomes a more profitable enterprise to be in business with us. And so by introducing Boost, it gave us a very powerful talk track. And I'm in active negotiations with companies ranging of all sizes that I feel like last summer, I would not have an opening to. So it's really been a huge catalyst to having conversations.
 And then with REV Share 2.0, I think it's going to give a shot in the arm to the folks who are great at attracting. And one of the beautiful things about this company is it's very much agent-led from a voice standpoint. So when we designed REV Share 2.0, it was strictly with the input of the feedback loop of the agents in the field who are competing for talent. And so we're pretty excited that it's going to help us attract the smartest and brightest folks in the industry. 
Soham Bhonsle: Got it. And then I guess, just one more on productivity, look, it looks like transactions are up. But when I sort of look at just the home sales transactions purely, right, it looks like it's up 2% per your slides. And then you had about 26% growth in other. Is there any way to sort of parse out what productivity was on sort of the core business of like just selling homes? 
Leo Pareja: Kent, I don't know if you have that... 
Kent Cheng: Most of the transaction [indiscernible]. And in general, I would say [indiscernible] other transactions [indiscernible] to support all the transaction. 
Glennn Sanford: I think Kent's mic has kind of messed up. 
 [Technical Difficulty] 
Kent Cheng: Well, to answer your question, right, our home sale transaction increased 5%, right? And you asked productivity. We don't have a separate team to support as a real estate sales transaction with lease, rental, referral, it's one team to support them. So when we look at productivity, we look at more like the overall pure transaction costs. They're all real estate-related. 
Soham Bhonsle: Got it. And then, Kent, just on gross margin, any help there? I think you said similar to last quarter, you said similar to 2023. Any updated thoughts there would be great. 
Kent Cheng: Yes, similar. We are about 8.3%, that level, yes. 
Soham Bhonsle: For the year? 
Kent Cheng: For the year, no, we don't forecast. You can see where our -- typically, what you see is the gross margin, there's a seasonality, right? When we get across the year, the agents start to cap. So what you see actually in the summertime, our gross margin tend to be lower and then come back again in Q4. 
Denise Garcia: All right. Well, thank you, everyone. We answered all the questions that were asked on Slido for the most part. I want to thank everyone for joining us on this quarterly call. As always, you can stay connected with us through our website for the latest updates on the eXp news, results and events. And additionally, you'll find a recording of this call in our latest investor presentation on the Investors section of the site. So this concludes the eXp World Holdings First Quarter 2024 Earnings Fireside Chat. 
Kent Cheng: Thank you. 
Glennn Sanford: Thanks, everyone.